Operator: Welcome to the Imdex Limited First Half '26 Results Presentation. [Operator Instructions]. Press the Documents icon to see copies of today's announcement and presentation. Select document to open it, you can still listen to the meeting while you read. [Operator Instructions] I will now hand over to IMDEX Managing Director and CEO, Paul House.
Paul House: Welcome, everyone, to IMDEX's results for the first half of FY '26. Today, I am joined by Linda Lim, our Chief Financial Officer; Shaun Southwell, our Chief of Exploration and Production; and Michelle Carey, our Chief of Digital Earth Knowledge. The first half has been a record for IMDEX and has featured some outstanding results across all facets of the business, and I'm delighted to be able to share with you the detail that has delivered this result. Throughout this call, we will be referring to the 2026 half year results presentation released on the ASX this morning. At the conclusion of our presentation, along with Linda and myself, both Shaun and Michelle will also be available for questions. Our agenda on Slide 3 outlines the focus areas for today. We will walk you through our record first half performance. We'll provide an operating outlook for our major regions around the world, and we will recap our corporate strategy and the key focus areas as we look ahead. Bringing your attention to Slide 5. At IMDEX, our purpose is to efficiently and sustainably unlock the earth's value by enabling customers to find, define and optimize the subsurface environment with confidence and speed. We achieve this through the development and deployment of technology that drives smarter, faster decision-making for our customers. While our heritage is in mining, our technologies are increasingly being applied across the broader earth science end markets. Critically, our technologies first originate subsurface data and then enrich it by delivering that data to our customers wherever they are in the world through software solutions that allow them to make that next decision. The MINEPORTAL visualization on the slide in front of you demonstrates how we bring our purpose to life, turning complex subsurface data into real-time insights that drive better decisions. So let's turn to Slide 6, where we can speak to the strong financial highlights for the half. Our 1H '26 financial performance was the strongest first half in IMDEX history. We delivered record revenue, record EBITDA normalized and [Technical Difficulty] NPATA normalized $247 million was up 16% on 1H '25. Importantly, this growth has been led by strong market share gains and supported by an increase in exploration activity on established projects across all regions. Later in the presentation, we'll expand upon where our strategy and our technologies continue to create further opportunities for growth, both within mining and the adjacent earth science markets. Normalized EBITDA increased 22% to $78 million, with margins expanding 32%, a clear demonstration of the operating leverage [Technical Difficulty] that is in line with 1H '25 at $74 million, noting that the 1H '25 result included a one-off gain of $9 million. These results reflect positive demand for all products in all regions. They are particularly strong and pleasing results having regard to the ongoing industry challenges. That includes both geopolitical uncertainty and the rising cost environment I referred to earlier. Turning now to Slide 7. Cash discipline remains an ongoing strength of our business. Normalized cash conversion was strong at 86%, evidence of our disciplined working capital management while delivering on the growing demand for our next-generation sensors. Net debt increased to $27 million following the completion of the Earth Science Analytics acquisition in August. Our leverage ratio at period end was just 0.2x. We clearly have ample capacity and have used that capacity to fund the Datarock, ALT and MSI completions post the half year end date. And finally, the Board has declared an interim fully franked dividend of $0.0169 per share, consistent with our approach to capital management being a 30% payout of NPAT normalized. This is a record interim dividend for IMDEX shareholders. Turning now to Slide 8 and the strategic highlights for the half. Starting with Drill Site Technologies. IMDEX continued to strengthen its position as a global leader in drilling optimization and downhole intelligence [Technical Difficulty] per $100 of exploration spend, up from $2.10 in 1H '25 and $2.20 for FY '25, reflecting the continued adoption of IMDEX's integrated solutions. Our Integrated Field Services, which is a combination of Directional Core Drilling and IMDEX Managed Solutions, saw its revenue increase by 28% on pcp. Notably, our operating footprint grew by 12% globally as new customers adopt the Integrated Field Services model. Our HUB-IQ connected revenue, which highlights the strong connection between our hardware sensors and our software solutions to form that integrated system grew by a very pleasing 22%. Our Mining Production segment continued to scale with IMDEX Mining Technologies revenue up 47%. This was led by faster growth in underground applications and extending IMDEX's presence further downstream into that mining life cycle. Within Digital Earth Knowledge, our Datarock business grew 90% on pcp, reflecting strong demand for AI-enabled geological interpretation. Completion of the Earth Science Analytics acquisition strengthens our overall AI-driven geoscience offering with the EarthNET platform being highly complementary to our HUB-IQ and Datarock applications. I'll now hand over to Linda, who will take us through the key financial metrics and performance drivers for the half.
Linda Lim: Thanks, Paul. Turning to Slide 10. I'll focus on the quality and sustainability of the first half financial performance. In 1H '26, we normalized our results for nonrecurring integration and transaction costs associated with the acquisitions of Earth Science Analytics, Datarock and Krux. Before stepping into the detail in the following slides, I'm pleased to highlight 3 outcomes that reflect the strength of our operating model. First, a record normalized operating cash flow of $67 million; second, a record interim fully franked dividend of $0.0169 per share; and third, a low leverage ratio of 0.2x following the ESA acquisition. Importantly, had we not acquired ESA, the group would have ended the half in a net debt cash position, having fully repaid the debt used to fund the Devico acquisition in under 3 years. Turning to Slide 11. As Paul outlined, half year revenue of $247 million represents a 16% increase on pcp, continuing IMDEX's track record of outperforming underlying exploration markets. Sensors, services and software is up 20%, representing 68% of group revenue. This continues the fast growth of our higher-value, higher-margin solutions. Sale of goods grew 9% with strong growth in fluids, which is tracking above market growth. Over the past 5 years, IMDEX has delivered a revenue CAGR of 15%, nearly double the growth rate of global exploration budgets, underscoring the resilience, scalability and structural strength of the IMDEX business model through the cycle. Turning to Slide 12. Our record first half revenue was driven by growth across all regions. Americas are up 20%, driven by strong U.S. activity and expanding operations across South America and Canada. Canada saw the biggest drop during the downturn, and activity there is still around 20% below its prior peak. Funding conditions have improved and the full benefit of increased activity is still ahead of us. APAC is up 9%, underpinned by strong sensor demand in Western Australia and signs of recovery across Asia. Europe, Middle East and Africa is up 17%, supported by technology-led growth and increasing adoption of Integrated Field Services. Importantly, the Americas and Europe, Middle East and Africa both delivered record first half revenue. Turning to Slide 13. Normalized EBITDA increased 22% to $78 million with margins expanding to 32%, a clear demonstration of the operating leverage that is a feature of our business model and disciplined cost management. Our discipline around cost management -- sorry, is in 2 key areas: First, reorganizing our operational spend to make existing operations more efficient and scalable; and second, continuing to invest in the areas that support growth and responding to expanding customer demand. Turning to Slide 14. There are 3 key messages I'd like to highlight on R&D. Firstly, we have continued to invest consistently in R&D through the cycle, and that sustained investment is clearly reflected in the performance delivered this half. Second, our R&D program is strongly customer-led. Projects are prioritized based on customer needs, and we retain the flexibility to adjust investment as those needs evolve. And third, our focus in 1H '26 has been on HORIZON 1 initiatives, continuing to build out our sensor and digital ecosystem with machine learning solutions increasingly embedded directly into customer workflows. Our disciplined approach to R&D investment and capitalization remains unchanged. We ensure clear pathways from innovation to commercial outcomes. Moving to Slide 15. We are sharing the capital expenditure by half year for the first time. Our intention is to highlight 2 key things. First, forecast and deliver into customer demand for current and next-generation sensors that will deliver revenue in the near term. We can clearly see this in the slide with the increase in CapEx for 2H '25 and the resulting step-up in revenue realized in 1H '26. Second is to show the blend between our capital investment in sensors and capital investment in software, again, in response to customer demand. This is increasingly important as customers take system. Turning to Slide 16, where we delivered operating cash flow of $65 million, resulting in a strong normalized cash conversion of 86%. This outcome reflects disciplined working capital management while supporting double-digit revenue growth and increased deployment of next-generation technologies. We closed the period with healthy liquidity and a $49 million cash balance, providing the flexibility to continue investing for growth, fund innovation and acquisitions and maintain our balance sheet strength. Importantly, this level of cash generation underpins our ability to execute the strategy while preserving capital discipline through the cycle. Turning to Slide 17. Our balance sheet remains strong. Returns have continued to improve with higher ROE and ROCE. However, I do note that 2H '26 will reflect an increase in acquired intangible assets. This balance sheet strength provides the flexibility to fund growth initiatives, including the completion of the Datarock, ALT, MSI and Krux acquisitions in 2026. Turning to Slide 18. Our capital management is underpinned by strong operating cash flow, disciplined investment through the cycle and a consistent 30% payout of normalized NPAT. This provides flexibility to reduce debt and reinvest in R&D, capital expenditure and selective M&A whilst balancing growth and shareholder returns. I will now hand back to Paul.
Paul House: Thank you, Linda. Turning to Slide 20. I'd like to spend some time sharing the current outlook in the major regions around the world. The Americas remain IMDEX's strongest engine of growth, delivering record first half revenue. In North America, activity continues to be supported by extended drilling programs, particularly in the U.S. market, where near mine and brownfields work remains resilient. The FAST-41 program is improving project visibility and demand for integrated solutions that improve drilling productivity, which continues to grow. As Linda mentioned, activity in Canada is improving, yet remains well below its prior peak. However, the improvement in junior funding conditions over recent months is encouraging. Exploration programs are therefore increasingly well-funded, and we expect this to translate into higher drilling activity as the year progresses, most likely in the back half of calendar year '26. South America continues to operate at elevated levels, driven primarily by copper. Chile, Argentina and Peru remain very active, supported by long-term energy transition fundamentals and gold activity is on the rise, although cost pressures are leading to the demand for productivity-enhancing technologies, which is favorable to IMDEX. Overall, the Americas remains the most attractive market for growth as we look forward, driven by a combination of critical metals, government policy and that demand for improved productivity. Moving to Slide 21. In Europe, activity is supported by brownfields exploration and policy-led investment, covering defense, resources and infrastructure and therefore, a demand for metals. While Scandinavia remains slightly softer, this is being offset by growth in the Balkan region, where demand for drilling optimization is leading the majority of conversations with customers. In Africa, near-mine work for major miners, predominantly gold and copper, is driving the growth. While parts of West Africa remain challenging, this continues to be offset by emerging opportunities across Zambia, Eastern Africa and Saudi Arabia. Moving to Slide 22. Western Australia continues to show strong gold drilling activity, partially offsetting softer conditions in Queensland and New South Wales. The adoption of IMDEX mining technologies remains strong, and the pipeline for Integrated Field Services continues to build in this market and has significant headroom ahead of it. Importantly, the focus for Australian customers is a combination of productivity and real-time decision-making. This, in turn, is driving adoption of our next-generation sensors and our integrated HUB-IQ solutions. Outside of Australia, activity in the rest of Asia has been low for a long period of time. Increasingly, the outlook is positive, and this presents significant headroom for growth in this part of APAC. Turning now to our strategic outlook on Slide 24. Industry signals have continued to improve since our October AGM with key macro indicators strengthening. The supply/demand imbalance that sets the scene for exploration demand remains firmly in place as does the overall decline in proven reserves. That in turn is forcing exploration deeper and into more complex ore bodies, structurally increasing the need for advanced subsurface intelligence, most evident in commodities like copper, where supply is tightening despite the strong demand. M&A activity, including consolidation in the gold sector, is reinforcing industry momentum, and this is expected to act as a catalyst for future exploration activity. That said, overall exploration budgets remain well below prior cycle peaks. However, visibility is increasingly improving. We expect exploration budgets to increase by double digits in the calendar year 2026. Capital raisings have increased significantly across junior intermediate explorers. And remembering there is a typical 6- to 9-month lag between funds being raised and drilling activity commencing. We, therefore, expect a step-up in exploration activity through the back half of calendar year '26, subject, of course, to geopolitical and regulatory constraints. For IMDEX, these signals all point towards a continued strengthening in global exploration activity. We would regard 1H '26 as the swing period where we have moved from 3 years of decline in exploration towards a net growth in drilling activity. We are already seeing this uptake on established drilling programs. And at IMDEX, our sensors on hire are increasing across all regions. In summary, industry signals continue to align in support of higher market growth ahead. This higher growth in the exploration drilling market from Slide 24 connects to the right-hand side of the image on Slide 25. IMDEX's ability to deliver growth regardless of market conditions has been a strategic priority and a highlight of our progress in recent years. We have achieved that through strong progress in the 3 levers that we control outside of general exploration market activity. First, our growth in the share of exploration spend. By expanding our offering through targeted R&D, complementary M&A, and embedding AI across our physical and digital portfolio, we have been able to increase our share of exploration spend. Second, our market share. Driven by having technical leadership in each product family, which is reflected in the uptake of our next-generation of sensor technologies, and our ability to deliver fully integrated hardware-software solutions. Third, market expansion. Both geographically and into the Mining Production market segment and further afield into adjacent earth science markets. We continue to expand geographically with our global network presence continuing to grow to support customers where they operate in the world. These 3 pillars work to drive growth regardless of market conditions. As we look forward, our recent acquisitions complement all 3 of these growth pillars. Finally on Slide 26, I would like to draw together the key elements that position IMDEX to deliver sustainable returns. First, we have a market-leading, integrated physical & digital system, with technologies that work together to meet customer needs and embed IMDEX deeply into workflows. Second, we deliver high quality earnings supported by a technology led, capital light model, delivering structurally higher margins, exhibiting strong operating leverage and consistently high cash conversion. Third, our disciplined investment through the cycle has been a long-standing feature of our business and has again delivered value in the most recent period, while positioning us to benefit from a multi-year exploration upcycle that is ahead of us. Together, these strengths underpin IMDEX's leadership position and support the continued growth of a high quality, scalable earnings base. That concludes our presentation today and will hand back to the moderator for Q&A.
Operator: [Operator Instructions] Our first question comes from Nicholas Rawlinson from Morgans.
Nicholas Rawlinson: Congrats on the results. Sensors and software revenue was up 15% in the first quarter, and it's now up 20% for the half. So that implies around 25% in 2H. Is that a good way to think about the exit rate in tools? And just for fluids, now that we're lapping comps where those large contracts, which finished are out of the picture, is that also a useful proxy for fluids growth going forward? Or are there sort of different dynamics to call out in the fluids business?
Paul House: Yes. I might -- thanks, Nick. I might start with your second question first. We've always said that we thought fluids was more directly responsive to changes in actual drilling activity. And so I think you're right now that those -- we have lapped those comps where we had a couple of significant contracts come off. I think looking forward, the drilling outlook or the drilling optimization outlook looks pretty solid. Of course, beyond fluids, we think of drilling optimization is including the DCD side of our business, which is obviously exhibiting much stronger growth in the half. The sensors revenue, I think, is a combination of the growth in activity, but also the next-generation technologies coming through. And so that pace can be not quite so linear. It can have to do with how quickly the size of projects that are taking on new technologies, but we still expect it to be pretty strong as we look forward. So double digits is pretty safe. So somewhere in between that 15% and 25% that you called out.
Operator: The next question is from Evan Karatzas from UBS.
Evan Karatzas: Can I just ask one around the headcount, please? Pretty impressive keeping that up to just like 2% first back in June, just given the revenue growth you're delivering. Just keen to talk through how you're thinking about headcount now for the second half, including obviously the acquisitions that are coming through, just the core IMDEX business, that outlook for headcount?
Paul House: Yes. Okay. So I think we mentioned at the FY '25 result that we had been continuing to be trimming the business, including a slight reorganization to set up for Drill Site Technologies and Digital Earth Knowledge as we finished FY '25. And so that headcount discipline is partly a reflection of the work taken at the back end of FY '25. There -- we do add heads, of course, as we bring in the recently acquired companies. And I think the previous announcements show what that margin profile looks like. We can provide a bit more guidance later on around the FTEs that are being added from those acquisitions. Within the core business, however, we will continue to add people in customer-facing roles, sales roles, service roles in response to the market demand. But obviously, we get good leverage in that business model being predominantly a dry hire business. So without giving you a specific on the number of heads, we think about it in terms of what is the incremental headcount we need in the core business, what is the additional headcount that comes from M&A, but the rest of the business should have good leverage.
Evan Karatzas: Yes. Okay. That was what I was trying to get to, right? You should expect some decent growth [Technical Difficulty] in the second half.
Paul House: Yes, that's right, Nick.
Evan Karatzas: Okay. And then just around the juniors, you obviously made some interesting comments regarding the raisings, but it's also yet to be seen on the ground. Do you want to just run through how you're thinking about the juniors coming into the market over the next 6 to 12 months and how IMDEX is preparing for that given it's been a pretty benign environment. You sort of shifted the business a fair bit away to the majors. Just how you're thinking about their contribution in the next 6 to 12 months?
Paul House: Yes. I might answer that first, and we have Shaun Southwell on the call, and I'll get him to add a further comment at the end if I've missed anything. But certainly, we've seen the initial uptake being on established projects where there are clear targets, there's established permitting and adding extra drill rigs onto established projects is slightly easier. The junior capital raisings have set records month-on-month for a period of time coming through that sort of July, August, September period. Historically, it takes 6 to 9 months for that to go into the ground. And so we haven't really seen a significant uptake in that area yet, a little bit in WA, a little bit in Canada, but really not reflective of the amount of capital raisings. So I think that upside is all ahead of us. Canada today is circa 20% below its prior peak still. And if that gives you some indication of the headroom ahead of it. I think the only caution we have around that 6- to 9-month lag is simply around a lot of boardrooms are just a little cautious around deploying capital with geopolitical uncertainty. So if they can deploy it closer to home, that's fine. And although there's been a lot of talk about removing or improving regulations and environmental restrictions, we're not seeing a lot of that play through very quickly. We think the intent is real, but we just think that this -- it's still a bit near term, and there's still a little bit of risk that, that holds up deploying some of the capital. Other than that, I think it's just that 6- to 9-month lag coming off Q1, Q2 raisings will play through later this year. I probably should have handed over to Shaun then in case there was actually another comment you wanted to add. Shaun?
Shaun Southwell: Yes. Probably the only other one would be a lot of the junior activity, particularly in Canada, is in BC. When the raisings came through, they're still waiting for their season. So their seasonal start as they come into the Canadian summer where this time of year, they don't do a lot of activity in the BC region. So we are seeing those delays and then you've still got to take into consideration the seasonal timing as well.
Paul House: Yes, good point. Thanks Shaun.
Operator: Our next question is from Mitchell Sonogan from Macquarie.
Mitchell Sonogan: Apologies, I've just been jumping between a few, so I missed a few of your comments earlier. Just in terms of the EBITDA margin at 32% there, can you maybe just give us a thought of how you're thinking about that in the next 6 or 18 months or so? Clearly, you're expecting to see a stronger uptick in industry activity. But I guess you've previously talked about maintaining it around these levels here. So yes, just keen to understand how you're thinking about that in terms of up cycle versus ongoing growth in the business.
Linda Lim: Thanks, Mitch. So the way -- when we came out of the FY '25, we did say that FY '26 is really a transitional year for us, especially with the cycle turning. So we always say about 30% EBITDA normalized margin is our guide for FY '26. We have realized operational leverage uplift for the first half, and we'll continue to obviously look at our OpEx cost base and making sure we're making good inroads in terms of keeping that disciplined approach and scaling our business. However, we are really conscious that we do -- the growth is happening and especially in our Integrated Field Services area. So we will need to invest, as we had alluded to at the end of the last financial year into our labor resources for that revenue. And also with the acquisitions coming in, there is a bit of margin pressure just purely due to the nature of those businesses.
Mitchell Sonogan: Yes. And probably a pretty similar question really just for the Americas revenue up 20%. EBITDA margins were broadly flat. Any color you can give to the outlook in that region in terms of the revenue growth versus ongoing costs you might have to put into it to support that growth?
Linda Lim: So the cost initiatives and cost discipline occurs across all of our regions, Mitch. And so we are looking to that scalability globally. And with Americas growing, obviously, we will be looking for making sure we've got the right resources and the right infrastructure to make sure we can deliver into that high revenue opportunity. And so yes, but there will be scalability opportunities across the whole globe. So we would be -- I'd be reluctant to guide anything different at this stage.
Paul House: I think as I said -- I did make a comment on the call, Mitch, that we did see the Americas and, in particular, the U.S. still presents probably one of the most attractive growth markets for us looking forward.
Operator: Our next question is a written question from William Park from Citi. Could we get some sense around competitive dynamics across your footprint and businesses as exploration levels continue to trend upward?
Paul House: Yes. Thank you. Thanks, Will. Look, the broad statement I would make is probably 3 things. We don't think the overall competitive landscape has shifted too significantly. Importantly, we do continue to win market share, and we have some very good internal numbers that support that. But as we look forward, we expect that competitive intensity to remain. I think we are heading into, hopefully, a pretty attractive environment. And certainly, the industry's demands for -- or the cost pressures that it faces is going to see a focus on things like productivity. So I expect it will be -- the customer-led side will be seeking technologies that somehow speak to improved productivity, and that opens up the market for both IMDEX, but also its competitors wherever that can be demonstrated. That's not a bad thing. That's a good thing.
Operator: A second question from William Park from Citi. How are you thinking about earnings trajectory with the strengthening AUD for the remainder of FY '26?
Linda Lim: Yes. So there's -- yes, thank you, Will. There's definitely headwinds when it comes to FX. So with the strengthening Australian dollar, as we've spoken to before, our FX exposure on the revenue side is 50% U.S. dollar or U.S. dollar-linked revenue. So that will create quite a headwind for us. We -- our usual FX management structure remains in place, and we'll continue to monitor it. I think for the second half, the rough exposure for us on AUD/USD revenue exposure is about $1.5 million for 1% movement in the FX rate.
Operator: The next question is from Gavin Allen from Euroz Hartleys.
Gavin Allen: Congratulations on the numbers. Look, apologies if you've discussed this, I have been hopping around a little bit as well this morning. But you didn't -- you mentioned growth and in particular, in front of market growth in established projects. I'm just wondering if you could provide some flavor on the opportunity or the headroom available to you outside of established projects and what you -- how we think about the go-to-market plan on that front?
Paul House: Yes. I think to be very clear, we have a footprint anywhere in the world where our customers might want to go, whether it's greenfield, brownfield, et cetera. So our network is well positioned to meet the demand wherever it comes from. The distinction between established projects is really to say that the ease of increasing rig activity on projects that are already drilling targets and you're just adding -- already have permitting, already compliant with whatever the regulations are, adding rigs on those projects -- established projects is a little faster. And so both juniors and [Technical Difficulty] intermediates and major projects or continuing to increase established projects. And so it really comes down to what the exploration budget focus looks like for intermediates and majors, which we expect S&P to publish some commentary on in the first week in March. And it all comes down to how quickly juniors do deploy what has been a period of record capital raisings. That's the headroom, I think, if that answers your question.
Operator: The next question is from Josh Kannourakis from Barrenjoey.
Josh Kannourakis: First one, just with regard to the split in terms of customers. Can you talk a little bit more, especially in North America about some of the success you've had with regard to going direct with the resource companies? How much that's had to play with some of the growth in that region in terms of taking a broader solution and whether you think that model is replicatable to that extent in other regions of the world over time?
Paul House: Yes, I might answer that initially, and then I'll hand over to Shaun Southwell again. I think, very important, we recognize the drilling customer group as a distinct group and the resource customer group as a distinct group. Our portfolio of solutions can add value to each. Historically, what we have felt we've missed is where we had resource company-specific solutions to unlock value, we have been underweight in that area historically. But all of those integrated solutions that we've been talking about, the IMS portfolio, requires a collaboration between IMDEX and the driller and the resource company. And that is how we've been looking to advance that market. That started in the U.S., as you pointed out. Shaun and his team have already expanded that to other regions around the world. I think I'll ask Shaun to speak to what we've seen out of that 16% top line revenue growth. I think Shaun has some guidance on how much of it was that Integrated Managed Solutions offering. But Shaun, can I throw to you?
Shaun Southwell: Yes. Thanks, Paul. Yes, we see activity pretty much in all of our regions around IMS. It's very dependent on the drilling conditions the customer is experiencing, which is why in the Americas, both in North and South, it is a strong business model because of the difficulty in drilling conditions there compared to places like in Australia or in Africa, where the complexity of the geology is far less. We've seen a double-digit growth in our field services, I think more than that actually, probably closer to 25% growth in our field services, and we expect that to continue. That's a combined of our IMS and DCD, which is actually when we completely supply all projects with all the technologies.
Paul House: Yes. Thanks, Shaun. I think it was -- 28% was the Integrated Field Services uplift.
Josh Kannourakis: That's great. Appreciate it. And second question, just with regard to CapEx. Obviously, there's a few moving parts given the additional new businesses in there. But Linda, would you be able to give us some context of how we should be thinking about maybe the core IMDEX business CapEx profile that you're thinking about into the second half and into '27?
Linda Lim: Yes. Sure, Josh. So the CapEx guidance we gave remains whole. So we expect to see the second half to be consistent with the first half in terms of that CapEx.
Josh Kannourakis: Got it. And just in terms of underlying that, like you mentioned the new products. I guess I'm just trying to understand a little bit more in terms of where you're spending the dollar and how we should be thinking about what's going in terms of new higher-margin products versus maybe some of the existing core and how much is available, I guess, within the existing fleet that you've got that isn't utilized at the current point in time?
Linda Lim: Sure. So the way we think about CapEx at the moment in terms of the spread is we usually have about 20% is general CapEx. Then we say there's about 40%, which is growth CapEx and the rest is sustaining CapEx on the existing tool fleet.
Operator: The next question is from Jakob Cakarnis from Jarden.
Jakob Cakarnis: Just 2 for me, please. Could you just talk to the earnings skew that you're expecting for FY '26, just noting typically, you'd had a first half weighting at least over the last 2 years. But if I go back to the prior cycle, you've actually had stronger second half than your first. Could you just make some commentaries around that? Obviously, M&A will come in for a full contribution in the second half, too, please?
Paul House: Yes, I'll start, and I'll hand over to Linda. You're quite right. So during the 3 years of exploration down cycle, H1 was stronger than H2 being reflective, I guess, of that down cycle. And you're right, in an up cycle, H2 is normally stronger than H1. And so as we go through -- we do think that the H1 '26 is a little bit of a swing period as we come out of that 3 years of decline. So I think we are sitting here despite some of the -- there's still some uncertainties as you go through that swing phase, but we would expect us to resume a period where H2 is stronger than H1. Could you add to that Linda?
Linda Lim: I would -- no -- consistent. I mean, we still are expecting seasonality, though as well. We would normally expect to see Q3 to be consistent with Q2 and then Q4 to see that step up as we run into FY '27. So our seasonality guidance still holds.
Paul House: And I think in terms of the acquired businesses, our focus is always -- and we're very consistent about this. Our focus is always in year 1 to not put too many demands on top line revenue growth. The value unlock comes from a very deliberate focused integration of the teams and the products and the networks, and that sets the tone then for growth in years 2 and 3 onwards. And I think there's only -- can you -- do you want to refresh on the number of months, where...
Linda Lim: Yes. So we provided -- when we announced ESA and also ALT and MSI, we provided guidance as to FY '26 revenue contribution. And so also as Datarock and Krux are fully owned, and so we'll see their results actually instead of being in the share of associates line, it will be throughout the P&L. And so you'll see Datarock will bring 5 months of contribution and Krux bringing in 3 months of contribution going forward.
Jakob Cakarnis: And just while you've got the mic, just on the working capital swing, I know you [Technical Difficulty] on cash conversion. Does that working capital unwind through the second half? And do we get back to kind of levels that you guys see historically, please?
Linda Lim: Sorry, Jakob, I missed the first part of that question. Could you please repeat?
Jakob Cakarnis: Okay. My headphones just decided that they pick up the Bluetooth again. I was just talking about the cash conversion in the first half, a little bit less than probably what you thought there was an uptick in working capital. Do we just assume that, that unwinds through the second half and you get back to where you have been historically on cash conversion, please?
Linda Lim: So our -- so our guidance is 70% cash conversion, and that still stays. I mean, we have disciplined working capital movement to support double-digit revenue growth. So we are still very happy with the way we're managing working capital. We've made a lot of inroads to make sure that's as efficient and effective as it can be. And I think that's reflected in the 86% cash conversion.
Paul House: Yes. I think in a growth phase, that 70% rule has been our historical practice. It is better than that in this half in spite of that top line growth. So I think that's a really good feature. A little bit of that will have to do with the shifting portfolio mix of sensors versus fluids, Jakob.
Operator: The next question is from Lindsay Bettiol from Goldman Sachs.
Lindsay Bettiol: Apologies if this question has been asked. I think a lot of mine have, but I was kind of cutting in and out. Just Krux and Datarock, like if I look at maybe the last update you gave us for FY '25, Krux' growth was circa 90%, Datarock was 60-ish. And the update today, it looks like Krux is like 80% growth and Datarock is kind of reaccelerating to 90%. So it just feels like the growth rates in both those businesses have taken very different parts in the past 6 months. Like firstly, can you just confirm if that's the right read? And if it is, like maybe just talk about the kind of differing trajectories of Krux and Datarock, please?
Paul House: Yes. I mean happy to answer that, Lindsay. They're 2 very different digital businesses and being start-up businesses, their revenue trajectory can be a little bit lumpy. I think the difference being, Krux is a much more infield operations-focused business that goes through probably slightly harder sales cycles to get embedded and Datarock probably spends more of its time at the front end building the platform before it rolls out. And that's what you're seeing that shift in revenue growth. So I would expect -- and Michelle Carey is with me, but I would expect the Datarock business probably continues to compound at a higher rate in the periods ahead. And we think that the growth trajectory for Krux starts to benefit from being integrated into the Drill Site Technologies business under Shaun, which will happen post completion. So we still see significant headroom in growth for both of them, but they're just very different products. And as they go through that start-up phase, it just -- it's a little bit lumpy. But nothing has fundamentally changed in terms of overall expectations of either of those technologies. I might ask Michelle Carey if she wanted to add anything else to the Datarock.
Michelle Carey: No. Maybe just the last comment to support what Paul said is, obviously, we were also aware from the start that Datarock were a little bit further -- not quite as far along in their journey as Krux and both of them are growing from a relatively low basis. So you can see a little bit of that as the growth rates evolve as well.
Operator: I will now hand back to Paul as there are no further questions.
Paul House: Wonderful. Thanks, Michelle. In closing, 1H '26 has obviously been an important period for IMDEX, particularly as we turn the corner on 3 years of very tough exploration conditions. The result has reinforced the strength of our strategy and the quality of the IMDEX operating model. Delivering record above-market growth, strong cash generation and the discipline that we've shown through the cycle has been a pleasing feature of the half. Our global network and our global team, both are unrivaled in the marketplace. And so we're very well positioned to benefit from a multiyear exploration cycle ahead and continuing to deliver long-term value to our shareholders. I'd like to extend my thanks to our team, our Board and our shareholders all, and I look forward to speaking with many of you in the week ahead. Thanks very much for your time today.
Linda Lim: Thank you.